Operator: Good morning, ladies and gentlemen. Thank you for joining and being present at the Eversource Energy First Quarter 2022 Earnings Call. My name is Irene and I will be coordinating today's call. [Operator Instructions] I will now hand over to your host, Jeffrey Kotkin, Vice President for Investor Relations to begin. Jeffrey, please go ahead.
Jeffrey Kotkin: Thank you, Irene. And good morning, and thank you all for joining us today. I'm Jeff Kotkin, Eversource Energy's Vice President for Investor Relations. During this call, we'll be referencing slides that we posted yesterday on our website. And as you can see on Slide 1, some of the statements made during this investor call may be forward-looking as defined within the meaning of the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and are subject to risk and uncertainty, which may cause the actual results to differ materially from forecasts and projections.  These forecasts are -- and factors are set forth in the news release issued yesterday afternoon. Additional information about the various factors that may cause actual results to differ can be found in our annual report on Form 10-K for the year ended December 31, 2021. Additionally, our explanation of how and why we use certain non-GAAP measures and how those measures reconcile to GAAP results is contained within our news release, and the slides we posted last night, and in our most recent 10-K and 10-Q. Speaking today will be Joe Nolan, our President and Chief Executive Officer, Phil Lembo, our Senior Strategic Advisor and outgoing CFO, and John Moreira, our Treasurer and incoming CFO. Also joining us today is Jay Buth, our VP and Controller. Now, I will turn to Slide 2 and turn over the call to Joe.
Joe Nolan: Thank you, Jeff and thank you everyone who is on the call this morning. It's been a very busy start of the year, so let me get right to it. First and most importantly, we have continued to deliver very safe and reliable service to our 4.4 million customers. The average number of months between power interruptions continues to place us and our reliability in the top decile of the electric industry, and our relatively short average duration of outages continues to place us in the top quartile. We also responded promptly to damage caused by a number of northeasters that seem to be arriving in New England every weekend from mid-January through February. Despite that inclement weather, response time to natural gas service calls, a key safety and performance metric for our gas distribution business was excellent. I'm also pleased with our continued work to support our state's efforts to significantly reduce their carbon footprint. Our sustainability ratings at MC -- MSCI, and Sustainalytics remains among the industry's best when compared to RPA utilities. Our updated 2021 sustainability report will be published mid-year along with enhanced disclosures on our diversity, equity and inclusion metrics. We are also currently working to determine how an energy and water delivery company, such as Eversource should address Scope 3 emissions.  Turning to Slide 3. As many of you know, the Massachusetts Department of Public Utilities is conducting an NDF inquiry into the role that gas will serve as the state moves to reduce its greenhouse gas emissions by at least 85% by 2050. In March, we submitted a lengthy filing in support of the deep use inquiry. That filing has been posted on our Investor website and its key elements are included on this slide. As you can see, reducing energy demand by vigorously pursuing energy efficiency, and both the electric and natural gas business is a cornerstone of our strategy. Additionally, we are recommending pursuing multiple options to reduce carbon emissions from our approximately 650,000 natural gas customers in Massachusetts.  They include developing a hybrid electrification pilot in a community where we serve both electric and natural gas customers. Building on the network geothermal pilot we announced earlier this year in Framingham, Massachusetts. Initiating a renewable natural gas program through purchases in in state on system injection and piloting the potential use of hydrogen with certain commercial and industrial customers. There is no question that our Natural Gas Distribution infrastructure will play a critical role in ensuring a successful transition to the state's clean energy future. The DPU is targeting a decision in this inquiry later this year. Turning to Offshore Wind in Slide four, I'm sure most of those on this call have read on news release us night announcing that we have commenced a strategic review of our Offshore Wind investments, where we are partnering with Orsted. It is clear that the landscape for Offshore Wind continues to evolve in many energy and infrastructure firms and investors, both inside and outside North America are extremely interested in investing in the Northeast United States Offshore Wind market. The extremely strong prices paid for New York Bight leases in February attest to this. We plan to evaluate our 50% interest in our partnership with Orsted together with the significant investment requirements, we have already -- we have ahead of us for our regulated energy in water delivery systems.  We have more than $18 billion five-year regulated capital investment program that needs to be financed, and additional capital projects that are likely to arise in the coming years. We have concluded that now is an appropriate time to explore monetization of our Offshore Wind investments. The strategic review we have launched was formerly endorsed yesterday by the Eversource Board of Trustees it could result in potential seal of all, are part of our Offshore Wind interest. We fully expect that given the strong interest for Offshore Wind assets, we will be able to replace the Offshore Wind earnings per share that we would realize after our two larger projects reached commercial operation. This could result from either greater levels of regulated investment, less financing needs, or a combination of the two.  Finally, I just want to thank Phil for his decades of service to our company and our customers. I have worked with Phil for more than 30 years, playing on the softball team with him back in my early years and he will be greatly missed. He has been a proven leader and a consummate financial professional. He has been our CFO for the past six years and has steered us through acquisitions, significant equity issuances in a pandemic, while being transparent with the street, supportive of his staff, and wise in his counsel to senior management in the board. One can readily understand why our investors have rated Phil, one of the top CFOs in the industry the past few years.  I am truly thankful that he is remaining in a senior strategic advisor role with us for the near term to help us with this evaluation of our Offshore Wind investments. We do not have a specific timeline for the review of our Offshore Wind project. During this process, we will continue to focus on a successful execution of our three Offshore Wind projects and we'll continue to lead the onshore portion of the project during citing and construction. One key element that may amplify market interest in our 50% interest, is the strong national and regional policy support for Offshore Wind.  The current administration has targeted 30 thousand megawatts of Offshore Wind in the Atlantic by 2030. And the four states that are most likely buyers of energy generated by offshore tracks continue to ratchet up their support for this clean energy source. We strongly believe that Offshore Wind will play a very important role in Southern New England and New York's aggressive de - carbonization efforts. And Orsted is recognized world leader in engineering, constructing, and operating Offshore Wind. Moreover, the sites we are developing are among the best in North America in terms of consistent wind speeds.  Moreover, we have a moderate water depths and a proximity to the electric road. In terms of our active projects, as illustrated on Slide four, an onshore cable installation beneath the roads of East Hampton on Long Island is largely complete ahead of schedule. Major offshore work will take place in 2023 and will continue the project bringing a 130-megawatt, 12-turbine project into service by the end of next year. Siting and permitting on our two larger projects, Revolution Wind and Sunrise Wind also continues to progress. We continue to expect to receive final federal and state approvals in 2023 and bring both projects into service in 2025. Slide 6 shows that there have been no changes to the cost estimates or schedules we discussed during our year-end earnings call in February, with contracts now essentially fully secured for South Fork. We continue to focus on negotiating contracts for the two larger projects, which we expect to be built in 2024 and 2025. In aggregate, about 80% of these project's costs are now [Indiscernible]. We're making good progress on procuring additional agreements in expect that the debt percentage to rise over the balance of the year. I want to add how thrilled I am that yesterday, our Board elected John Moreira to be our new CFO.  John will hit the ground running, having a leadership position throughout the finance organization over the past two decades, including Treasury, accounting, budgeting, regulatory and Investor Relations. He has also headed up our Investor Relations and our strategic initiatives, including our water acquisitions in the Offshore Wind business review we announced yesterday. He knows Eversource inside and out, and we will -- and will provide us with experienced financial leadership as we invest on behalf of our customers. Thanks again for your time. I will now turn it over to Phil.
Philip Lembo: Thanks, Joe. Good morning everyone. This morning, I'll cover the results for the first quarter of 2022, and then John will discuss recent regulatory developments and our 2022 financing activities. I'll start with Slide 7. Our GAAP earnings were $1.28 per share in the first quarter of 2022 and this compares to earnings of $1.06 in the first quarter of 2021. First quarter results for both years include $0.02 per share of after-tax costs associated with acquisitions primarily related to the assets acquired from the Columbia Gas of Massachusetts deal. Results in the first quarter of 2021 also include a charge of $0.07 per share related to our performance in August of 2020 following tropical storm Isaias.  Excluding the acquisition in the transition costs in the first quarter is of 2022 and 2021, as well as the storm-related charge in 2021, we earned $1.30 per share in the first quarter of 2022, compared with $1.15 in the same quarter of 2021. Our first quarter electric distribution earnings were $0.41 per share in the first quarter of 2022, compared with earnings of $0.34 in the first quarter of 2021. This is largely -- this excludes the storm charge. Improved results were driven largely by higher revenues in New Hampshire and Massachusetts and lower pension costs. Our electric transmission segment earned $0.43 per share in the first quarter of 2022 compared with earnings of $0.39 in the first quarter of 2021.  Improved results were driven by a higher level of investments in our transmission facilities that we used to provide safe and reliable service. Our Natural Gas Distribution segment earnings were $0.47 per share in the first quarter of 2022 compared with earnings of $0.43 in the first quarter of 2021. Improved results were due primarily to higher revenues, partially offset by an increase in O&M costs. Our Water Distribution segment earned $0.01 per share in the first quarters of both 2022 and 2021. You may recall that the winter quarter is the weakest of the year for water utilities in the Northern U.S. Eversource Parent and other companies lost $0.02 per share in the first quarters of both 2022 and 2021, and this is excluding the acquisition and transition costs I mentioned earlier.  We are encouraged with the positive first quarter results, but believe it is a bit too early in the year to revisit our $4 to $4.17 per share EPS range. We'll continuously evaluate this guidance range as we move through the year, as we would typically do in past years. I think it's important to keep a few things in mind. A significant percentage of our incremental gas business earnings come in the first quarter. Also, we expect to commence our ATM equity issuance during the second quarter, depending on market conditions. Like everyone else, we're seeing a dramatic increase in borrowing rates. Short-term rates are up 75 basis points depending on the day. The 10-year is nearly double where it was a year ago, so rates are higher. And storm response and restoration costs are a significant O&M item for the Company each year. With three-quarters of the year still ahead, we believe it's appropriate to see how the year progresses. Before turning the call to John, I'll just discuss our capital plan. I want to touch on a few of Eversource's initiatives. First, Eversource Gas of Massachusetts or EGMA. The process for transitioning EGMA into Eversource business systems is nearly complete and we expect charges to this transition to tail off after the second quarter of 2022. Systems have been transitioned since the start of 2022, include multiple work management systems, a natural gas dispatch system, a GIS and scatter systems, and the new customer information system. This has been just a great effort by the entire Eversource team to get all 300 business processes transitioned over from NiSource to Eversource quickly and effectively over the past 18 months. Second, Aquarian Water continues to grow, earlier this year Aquarian announced an agreement to purchase a 10,000-customer water system that serves five communities in Northwestern Connecticut. The transaction would result in Torrington Water holders receiving approximately 900,000 Eversource shares in exchange for their Torrington stock. Torrington is a very well run water delivery system, whose service territory is highly complementary to Aquarian’s existing footprint. Assuming timely regulatory approvals, we expect to close the transaction by the end of this year and for it to be accretive in 2023.  I'm going to turn over the call to John in a moment, but first I wanted to say how grateful I am for all the relationships I've had with members of the financial community during my career. This has been especially true over the past six years when I was fortunate enough to serve as Eversource's CFO. Our customer -- our company is in a strong financial position in a great pipe because of your confidence in us. I look forward over the coming months to helping Joe and other members of the Eversource leadership team can execute our strategic review of our Offshore Wind investments. So thank you all. And now I'd like to turn the call over to John.
John Moreira: Thank you, Phil, and congratulations on your retirement, and I personally want to thank you for your leadership of the finance team and for your mentoring of me over the past couple of decades. I also want to thank Joe, Jim, George, and the entire Eversource Board of Trustees for entrusting me with the CFO position. I am honored by the confidence you have shown in me and look forward to supporting Eversource Energy lead and efforts to serve our customers and prepare for New England 's clean energy future. As you saw in our news release and can see on Slide 8, we are reaffirming our long-term EPS growth rate in the upper half of 5% to 7% range.  On Slide 9, we also reaffirm the $18 billion five-year regulated capital program that we disclosed during our February earnings call, including our $3.9 billion regulated capital investment projection for this year alone. You will recall that in February, we noted a couple of additional areas where we may see incremental regulated investment over the next five years. During -- turning to Slide 10, we have provided status updates on our AMI program for both NSTAR Electric and Connecticut Light and Power. At this time, regulators in both Connecticut and in Massachusetts are actively working through dockets with discussions -- a decision expected later this year.  Briefing has been completed in Connecticut, and is scheduled to wrap up in Massachusetts over the next couple of months. Separately, in March, NSTAR Electric filed an application with FERC on a new innovative recovery structure to help promote offshore wind development off of the coast of Massachusetts. The application references Park City Wind, which is a 800 megawatt Avangrid project that was selected as part of -- years ago, as part of -- years ago as the winner of Connecticut's most recent offshore wind RFP.  Like the Vineyard Wind project, Park City Wind will connect to the massive New England grid through NSTAR Electric facilities in the Cape -- in the Cape Cod of Massachusetts. Park City would connect into NSTAR Electric's 345kV system, where we are already planning some upgrades to meet rising electric loads. By working on the two projects together, we can reduce costs for customers. In addition, the incremental upgrades would be approximately 200 million, which the vast majority being collected from Park City with FERC based returns. We also have -- we also have asked FERC to approve our application in an expedited fashion.  We expect there will be other opportunities that will emulate at this type of Offshore Wind transmission into connection agreement structure going forward. Since -- together Massachusetts, Connecticut, and Rhode Island are seeking approximately 9,000 megawatts of such offshore projects. On the regulatory side, our only active rate case is NSTAR Electric, and we continue to expect a decision around December 1st with new rates going into effect January 1 of 2023. We are currently going through the discovery phase of this proceeding.  At some point over the next couple of months, we do expect Aquarian Connecticut to file for its first rate review in about ten years. Aquarian kinetics -- Connecticut's regulatory ROE is about 7.7% for 2021 and well below the allowed rate of return of 9.63%. In terms of financing and recent credit rating agency decisions, we have completed a $1.3 billion 5-year and 10-year issuances at Eversource Parent Company, we did that in late February. Proceeds were used to meet the maturity of $750 million at the parent company that matured in March. And with the balance of the proceeds being used to reduce short-term debt.  Fitch has completed at the annual review of Eversource system of companies last month and raised its outlook on CL&P from negative to stable. The stable outlooks -- also, Fitch reaffirmed the stable outlook for all of our family of companies. We have recently conducted our planned meetings with Moody's and S&P as well, and brief them on the status of our Offshore Wind initiative, our 5-year financial projections and our equity needs. We look forward to the conclusion of these reviews later this year. In terms of upcoming equity issuances, as you can see on Slide 11, we expect to commence the issuance of new Eversource shares this quarter through our previously announced at-the-market or ATM program. As we said in February, we plan to issue $1.2 billion of equity through this ATM program over the next few years. Additionally, we will continue to issue treasury shares to fund our dividend reinvestment, our optional share purchase, and employee stock plans. Excuse me. This is expected to result in approximately $120 million worth of treasury shares per year through these plans during our forecast period.  It is important to note that our plan issuance of $1.2 billion of equity through the ATM program and the DRIP shares issuance are not impacted by the strategic assessment of our Offshore Wind that we announced yesterday. At this stage, of our strategic assessment, it is too soon to comment on how any potential sale of all or portion of our Offshore Wind investment would impact our financing plans in the future. Thank you very much for joining us this morning and I look forward to seeing all of you very soon. I will now turn the call back to Jeff for Q&A. Jeff.
Jeffrey Kotkin: Thank you, John, and I'm going to return the call to Irene, just to remind you how to enter questions. Irene.
Operator: [Operator Instructions] Now, I will hand over to Jeffrey, who will coordinate the current questions and answers list. Jeffrey, please go ahead.
Jeffrey Kotkin: Thank you Irene. Our first question this morning is from Shar from Guggenheim. Good morning, Shar.
Shar Pourreza: Good morning, guys. Morning.
Joe Nolan: Good morning.
John Moreira: Good morning.
Jeffrey Kotkin: So Phil, I'm a little conflicted about your retirement announcement on one end, really come for you and John for Phase two, but I'm going to miss our -- definitely going to miss our state dinners and interstate road trips. So hopefully we can still do that.
Philip Lembo: Yes. Nothing --
Shar Pourreza: So Joe, just a question here on the sale process and maybe first two parts, and I got a quick follow-up there. First, what kind of options we're looking at. I know you mentioned it could be piecemeal, so just you're interest in the unused leases or everything. Are you sort of leaning one way or the other? And two, what is the timing for this process kind of in your mind, I know you said within 2022, but with the latest ATM set to start this quarter, how should we start thinking about this?
Joe Nolan: Well, thank you. And it's great to hear your voice and look forward to seeing you in-person. So listen, we just are starting this process. We did have our board in here yesterday. Obviously, this was a decision that had a lot of thought going into itself. We now look at all of our options and the impact at the seal [Indiscernible], all seal would have on our business. So I think, I don't have an answer for you right now. It's not something that I have them with holding. I just -- I don't have it, so I will tell you that as this evolves, we definitely will keep everybody informed and we will obviously be very thoughtful and deliberate about any type of review and any kind of next steps on wind.
Shar Pourreza: Got it. And then just -- what prompted this? Is -- did you actually -- did you -- will you feel that offers, I guess, would -- was this prompted by any interest from imbalance?
Joe Nolan: Well, I guess, I don't think there's been an analyst -- I'm looking at the list of folks on the call and, obviously, you win. Folks have always asked us these questions about are we going to monetize our wind assets. And Phil used to always say to folks, if somebody backs up a brain struck, obviously, we will look at that.
Shar Pourreza: Yes.
Joe Nolan: And I think the New York Bight leases were a point of inflection for this Company. I think -- I was actually doing all-day meetings that day and we started to see some of the pricing. And as you know, listen, we're here for the shareholders and we are going to do the right thing by our shareholders, and our investors, and our customers. And this is the right thing to take a look at this. And I think we heard many of you loud and clear about, what are you going to do our around wind? So that's what really was the driver around this, Shar.
Shar Pourreza: Got it. Got it. And then just lastly, obviously, in the context of your base 5% to 7% growth. Is this just a dilution avoidance or do you have a line of sight to incremental opportunities right now that you're excited to fund with the potential proceeds? And then what's the tax impact of a full sales as we're thinking about it?
John Moreira: Sean, this is John. Let me start with the latter question. It's too early to tell, as Joe mentioned. We are looking at multiple structures and options to mitigate any tax leak itself. Too early on that front, but we are focused on that. On your latter question, or former question I should say, the financial impact of this, once again, we're still continuing to review and assess it, but we feel very optimistic with opportunities on the regulated side to continue to develop clean energy investment strategies.  I mentioned one on the call in my formal remarks to support connecting Offshore Wind into Cape Cod. We think there's more to come. There’s a recent bid in Massachusetts that want to connect into Massachusetts and we are the incumbent utility in that area, so we're very optimistic. We have a solar, a sizable solar deployment program in Massachusetts which we're just kicking off the ground right now. Part of it will land in this forecast period and part of it could go beyond our forecast period. So we're very optimistic about what lies ahead to deploy the use of proceeds.
Joe Nolan: But just to emphasize what John said, Shar, is we are focused on regulated assets, so we are not going to go from one unregulated venture to another.
Shar Pourreza: Terrific. Thanks again, John and Phil. Congrats on Phase 2 and Mr. Nolan, I'll see you soon. Thanks, guys.
Joe Nolan: Thank you.
Jeffrey Kotkin: Thanks, Shar. Our next question is from Steve Fleishman from Wolfe. Good morning, Steve.
Steven Fleishman: Yeah, hey, good morning. And Phil, wish you the best and hope to see that handicap keep getting lower. The -- just -- maybe first, could you clarify the messaging on your equity needs? Because at the one time -- are you keeping the ATM in place in just -- just no matter what year, or are you just doing this for now until you see the outcome of this and then deciding whether some of this would reduce equity needs? Just better clarity there would be helpful.
Joe Nolan: Sure. Steve, as we mentioned in February, the $1.2 program would be executed over several years, right? So it sounds as though we're going to be executing it immediately all at once and in order. So as you all know, our core capital program that we continue to rollout is going one direction, and it's been increasing very nicely for us. Right now, we're looking at an $18 billion capital investment program that takes us through 2026. So we view that $1.2 as support of that capital investment portfolio. But we will continue to monitor and as I've said in my former remarks, it's too early to determine what impact the sale -- the potential sales could have on our future financing plans.
Steven Fleishman: Okay. Is it fair to say that you need to use the proceeds mainly to reduce debt? Or is it just more premature and determine to use the proceeds?
Joe Nolan: Yes. We are very focused on maintaining an appropriate capital structure. With these potential investments that we have discussed a few minutes ago, those what happened over time, so we are looking at reducing our debt. We are maintaining pretty high levels of short-term debt and our forecast does have some debt -- for the debt issuances that we can certainly take off the table.
Philip Lembo: And if I could add --
Steven Fleishman: Okay.
John Moreira: -- Steve, that we've always talked about financing our growth in a balanced manner, and so we can't do it all one way or the other, and this helps support that balanced financing approach, and it's really, again, to finance the growth that's in the capital plan.
Steven Fleishman: Got it. That makes sense. Thank you. And then one other question just on the announced sales, could you maybe give us a little flavor of what worst bids rights are, with respect to partnership. Like, do they have a right of first offer or refusal? And can they -- do they have any say on who their new partner is going to be? Can they like say no if they don't like somebody? Or could you talk a little bit about that?
Joe Nolan: Sure. First, let me just tell you that Orsted is probably -- is a great partner. I mean, they are my very good friends. I've spent time in Denmark with Mads. I've got a great relationship with Martin and with their U.S. President David [Indiscernible] we have played a very valuable role in that partnership. We continue to play that role and we expect to continue to help Orsted as they make landfall here with any projects. So we are a valued partner, I was in NIOC the other night for an event in Long Island, we're making significant progress that wind based construction was supposed to take two years. We ended up doing it in one. So I think that the relationship will continue. The structural in some form of us helping them as they as they grow this business. In terms of the commercial terms as to whether they can buy us out or how that all works, it is confidential at this point, but that will begin to share that as we are able to share with you.
Steven Fleishman: Okay. Thank you and congrats. And Phil, wish you the very best.
Philip Lembo: Thanks, Steve.
Joe Nolan: Thank you, Steve.
Jeffrey Kotkin: Thanks, Steve. Our next question is from Nick Campanella from Credit Suisse. Good morning, Nick.
Nick Campanella: Hey. Good morning. Thanks for taking my questions. Congrats to Phil on the retirement announcement. I just wanted to expand a little on Steve's question. I was just curious on just what your flexibility is on the 50-50 JV. Are you able to sell just lease bed or is the contract structured where you have to monetize an entire part of the JV? I just wasn't sure if there’s a hurdle to what your flexibility is here. Thanks.
Joe Nolan: Yeah. So I guess our flexibility is great, and our ability to make decisions on all our parts are very flexible. And again, we will evaluate what the results are and what makes the most sense for our business and for our shareholders. So we are not handcuffed in any way.
Nick Campanella: Got it. And then if I could just ask like a non-offshore question just on inflation. I think you just talked of some higher -- you're seeing higher financing costs across the board. Just where else are you seeing pressure? You know it's been a couple of quarters of pretty hot CPI prints. And how do you feel on just overall cost containment within the 5% to 7%? Thank you.
John Moreira: Sure. Sure. This is John, so interest rates obviously we -- is here in front of us and we have to manage that and we have a plan to compensate for that. We're also seeing some pressure. I wouldn't characterize it as significant challenges or hurdles, but we are seeing some challenges in the supply chain and more recently on the fuel component side. And there again, we are trying to work -- to work that challenge through and find opportunities to offset that impact.
Philip Lembo: Then if I can add a little too that, some -- some of the items that you see, if it's commodities, or cable, or certain types of equipment, it mostly would it impact our capital plan? These are sort of items that would be used to advance our capital program. So as John mentioned, so fuel and what not is there. And I think it's important to keep in mind to on the offset some of our rate plans. We incremental revenues are based on an inflation or PBR adjusted formula. So that would help to offset cost increases should they occur going forward.
Nick Campanella: Got it. Thanks. If I can squeeze just one more in, I'm sorry, but I know that you talked about -- and if I heard you right, you think that you can replace all of the Offshore Wind earnings as we get to 26 here. So is that just -- is that net of full proceeds, and then future investment in purely regulated opportunities? Can you just clarify that?
Joe Nolan: Sure. We have to wait and see what the ultimate transaction or transactions are, whether it's whole or in part, but we feel very optimistic that we can replace those earnings just given the runway of regulated opportunities that we have ahead of us.
Nick Campanella: Thanks for the time today, everyone.
Joe Nolan: Thank you.
Jeffrey Kotkin: Thanks, Nick. All right. Next question is from Angie Storozynski from Seaport. Good morning, Angie.
Angie Storozynski: Good morning. So I'm going to start with a non Offshore Wind question. About Connecticut, you guys mentioned that Aquarian is going to be filing a [Indiscernible] case there. We saw that PURA denied the [Indiscernible] filing of the utility, which probably was assigned that [Indiscernible] coming, but can you give us a sense what of the latest status of your regular relationships in the State of Connecticut?
Joe Nolan: Yes. Sure. So good morning. Our relationships are very positive. I mean, we had hearings. We could too go on AMI in very, very constructive discussions, very engaged commission. So I would say that things are good, we get very good relations with the government, with the attorney general down there. And I think things are very, very much improved, obviously from some of our challenging time. So I feel good about the climate down there.
Angie Storozynski: And how is your expectation for the future electrical rate case in the state, given the inflationary pressures that you are likely feeling and will continue to feel? Is there any change in the timeline on when you would expect to file the next rate days?
John Moreira: Sure Angie, this is John. So per the settlement agreement, we cannot change rates any earlier than January 1st of 2024, but as part of that settlement agreement, we did put the stake in the ground that re-rate we've -- that review qualified for the 4-year coming in and show, so we can actually stay probably until 2025. So we have to -- it's too early to determine when we would file, will we file early or later because of that point. So we will continue to monitor the earned returns offers, CL&P and make a decision accordingly.
Angie Storozynski: Okay. Thank you. And then lastly on Offshore Wind. I understand that you're just beginning the process, but just looking at reasons for the process right with the year offshore these auction, which would imply that you're leases are probably North of $2 billion, and then the amount of CapEx that you will have spend on Offshore Wind by the end of this year. Again, I'm struggling to see how much of regulated CapEx you can generate in order to deploy the potential proceeds here. Again, we're talking probably ups again by my account, more of estimate, more than $4 billion of potential CapEx with again, AMI spending and all of these other projects that you're mentioning are not even anywhere close to the amount of money that you would likely have have.
Joe Nolan: A lot questions there, but let's just start with the our Offshore Wind decision. Obviously, this strategic review is designed to kind of de -risk this business. You look at the market conditions that occurred with the Bight leases and you just have to take a good look at that. In terms of the $4 billion number, I don't know, John, if you want to.
John Moreira: Sure. Sure, Angie. I think it's important to note that that $4 billion is not going to happen all at once, it's not going to come in in one year, but we feel very optimistic that over towards the latter half of our forecast period and beyond, what as you know the two major projects that we have our forecast would kick in in earnest for the first full year of 2026. So looking at our 10-year view of investments, we feel very optimistic that we could get to a sizable investment opportunity.  AMI, as you know, is approximately $1 billion, which is not enough. $18 billion forecast year, we have other opportunities on the transmission side to facilitate and accommodate clean energy connections into our service territories, and I gave the example of one from an offshore developer. We see more happening, certainly in Massachusetts with the recent bids that were awarded earlier this year. So once again, we feel very optimistic that over time, we will certainly get to that $4 billion number that you cited.
Angie Storozynski: But it would be probably twice as much now because it's just the equity component, right? Of the future growth, right? So it would have to be more like $8 billion of CapEx, right? To deploy this cash. Again, I understand it's already innings of the process but I'm just doing a simple math here.
John Moreira: Yeah, yeah. No, I understand. And, Angie, where the states and the region is going from a clean energy and clean goals setting, there will be a need to accommodate further development, certainly on the electric side. Both on the distribution side and on the transmission side. We have the de - carbonization strategy. I think that's going to -- and we're seeing some of that happen in our service territory where loads are increasing and we have to address those loads in the short-term. And then you lay around for the demands that -- we see that as a window of opportunity. Once again, it's probably too early for us to put pen to paper, but given what we see and what we hear from our state policies, we feel very optimistic about it.
Angie Storozynski: Okay. Great. Thank you, guys. Congratulations, thanks.
Jeffrey Kotkin: Thank you, Angie. Next question is from Durgesh from Evercore. Good morning, Durgesh.
Durgesh Chopra: Hey. Good morning, Jeff. And thank you, team, for taking my questions. First, just as we think about and try to model the evaluation -- future evaluation of these assets, are still using the 6% to 8% net income off of the 26? Is that a good estimate still for the -- as the representative of earnings from these assets?
Jeffrey Kotkin: Yes, that is correct.
Durgesh Chopra: Got it. And then just one question, Joe. I'm thinking strategically, if you, let's say exit all of the -- potentially all of the offshore assets, how does that impact your onshore transmission and distribution investments? I guess, the impetus of this question is, does it help you owning offshore assets with the onshore wind -- onshore transmission distribution investments or it doesn't matter? I'm just thinking about the implications on your onshore plan as it relates to these assets and other offshore assets for that matter.
Joe Nolan: Yeah, you know, one of the interesting aspects of this wind development has been that even when we, the unregulated business has lost bidding in different states help, we end up winning the interconnection and the transmission built for these developers. So that continues and I'm very, very optimistic a lot. I think we will continue to play a role on the on -- we will, I can tell you we will and I don't think we will play a role on the regulated onshore wind transmission construction in operation for all these Offshore Wind developers and the appetite is extraordinary.
Durgesh Chopra: Got it. Thank you for that. Sounds like you're pretty optimistic and bullish on those prospects as it relates to onshore investments. Okay. Thank you. And, Phil and Jim, congrats to you both. Thanks for taking my questions.
Joe Nolan: Thank you.
Jeffrey Kotkin: All right. Thank you, Durgesh. Next question is from Jeremy from JPMorgan. Good morning, Jeremy.
Ryan Karnish: Hey. Good morning. It's actually Ryan Karnish on for Jeremy. Thanks for taking my questions.
Jeffrey Kotkin: Hey, Ryan.
Ryan Karnish: I'll just start with the future of gas proceeding in Massachusetts. And maybe making it through the potential regulated CapEx opportunities there, and just any high-level thoughts on the level of CapEx that might enable to bring it to the plan, and then just over what time frame these might materialize?
Joe Nolan: Yes. We're playing an active role, obviously, in that proceeding. We continue to feel very good about the gas business. I'll let John maybe to weigh in around the CapEx plan. But we still feel very, very good about it. We're playing a key role in that proceeding. John?
John Moreira: Yeah. On that specific question, once again, I think it's too early. We just filed this a couple of months ago, but I can tell you that what we do have is we do have about a $10 million investment opportunity in Framingham that we mentioned that we're looking to test from a geothermal standpoint. But once again, I think it's too early for us to size the breadbox at this point.
Ryan Karnish: Totally understand. And then just one on Offshore, maybe tackling the financing side from different perspective, but you talked about in the prepared about having discussions recently with the agencies, but just wondering at any kind of high-level how you think about a potential partial or full sell down, what it might do to your credit thresholds. How we should we think about that kind of impacting the financing plan?
Joe Nolan: Well, we feel comfortable with the -- what we've have announced, the $1.2 billion equities, and as we've said, it's regardless of what we -- the ultimate proceeds off from this initiative, but now that's not likely to change at this point. We still need to continue to evaluate it. But we feel pretty optimistic as to where we are. As I've mentioned, Fitch, we kind of reaffirmed all of our ratings and we're optimistic that Moody's and S&P will follow soon.
Philip Lembo: If I can add to that. We alluded to the fact of making the visits and whatnot. And I would add that this would be viewed as credit positive in a sense whether it'd be from a proceeds standpoint or we fall on the risk grid types of things. So we'll have to work over the next few months for their -- or Bill have to work on their analysis over the next few months. But I think an overall big-picture sense, a credit positive outlook from this announcement.
Ryan Karnish: Got it, understood. That makes sense. I'll leave it there.
Jeffrey Kotkin: Okay. Thank you, Ryan, appreciate it. Our next question is from Insoo Kim from Goldman. Good morning, Insoo.
Insoo Kim: Hey good morning, guys. First question touching up a little bit more on whether it's a transmission or other opportunities related to offshore development in your area. Just as you think about the next five years of the 10-year build-out of the gig watts in your service territory; is there any way to frame or size the opportunity set? Again, whether it's transmission or others related to Offshore Wind that are more in common to your -- and you have more of a right to those investments versus those made that may be more competitive in nature?
Joe Nolan: Yeah, I guess -- first of all, good morning. When you look at -- one of the things that we've looked at in our business is, if you're in Offshore Wind developing, you're going to make landfall. It makes a lot of sense for you to go to the host utility. Yeah, granted there might be some competitive aspect to it, but just like our project in Rhode Island, obviously, National Grid would be a partner as we made landfall. We looked at our partners in New York as well, and it's generally the host utility.  Yes, could somebody go another way? Yes, they certainly could. But I think that, when you look at our operations and our transmission business, I don't think you'll find better operators. I think we demonstrated that here with a reliability project here that was competitive in Boston. We did team up with National Grid and folks came in from around the country and we won that. And we were able to execute it. And our pricing was far better than anybody else. So, I think we have the best team in this space and I'm not concerned about somebody coming in and trying to cut our grass.
Insoo Kim: That makes sense. But Joe, are you -- is there anyway to frame a magnitude of those investments just based on the development of projects that are supposed to come online in your areas over the next 5 to 10 years?
Joe Nolan: So I got to tell you, we have visibility around though projects that have won. But as you know, each time a project wins and where it has to locate the used to be a lot of transmission planning, ISO studying around the interconnection. So I wish I did, I love to be able to tell you that it's a $5 billion or it's a $10 billion, but I will tell you it is significant and they all want to get into our territory. This is the load setter, so it's just that it's not a matter of what's stated. They're coming into this region and they are going to come into our territory. So the number, it's too early for me to tell you and if I knew it, I'd tell you.
Insoo Kim: I'm sorry. Yeah, no, thanks for that. My other question, just thinking about the potential, you said the proceeds. I know it's too early from the strategic review, but is low-hanging fruit, I guess a combination of looking at your balance sheet or the organic CapEx they're talking about? Or could this open up potentially just from a capital perspective, some options on an organic side of the business, on the utility side.
Joe Nolan: Yeah. I guess all of those. I think it's a combination of that. I think you know that when we get into the acquisition market, we're always smart investors. We're not going to do anything crazy, you're not going to see us go across the country. You're not going to see us make a poor decision. We made very good decisions and I think it's a combination of all those factors that we would use any proceeds from wind.
Insoo Kim: Got it. That's all for me. Phil, it's been a pleasure. John, congratulations. Looking forward to it.
Joe Nolan: Thank you.
John Moreira: Thanks, Insoo.
Jeffrey Kotkin: Thanks, Insoo. Next question is from David Arcaro from Morgan Stanley. Good morning, David.
﻿Q - David﻿ Arcaro: Hey, good morning. Thanks to say -- thanks so much for taking my question and congratulations, Phil and John. In terms of just the inflationary backdrop here. Could you give any sense of what you're seeing for the year-over-year increase in your bills so far, in your customer bills so far this year? I know everybody facing it, I'm just curious if you're -- if you've got any level of quantification, you could offer for what we're seeing for year-over-year increase.
John Moreira: Well, overall with the energy component will probably in the 7% range that we're seeing year-over-year, net-net.
﻿David﻿ Arcaro: Got it. Okay. That's helpful. And then on the -- let's see, the $200 million transmission opportunity that you alluded to in the script, is that in the plan yet? And could you remind me one that would come into service?
Joe Nolan: Hey, it's not in our $18 billion capital forecast that we disseminated in February. If you recall, David, in February we said in addition to the $18 billion, we were seeing some opportunities and we had quantified a potential opportunity for Offshore into connection in Massachusetts of approximately $500 million. So this $200 million filing that we did with FERC is $200 million of that five. So we -- as I've said, we're confident that there will be more to get us to at least the five if not over. And the timing of that would be I would say the next year. If you could see materialize this year as these PPAs and now being filed with the DPU and the studies are in front of ISO New England already for review.
﻿Q - David﻿ ﻿Arcaro: Got it. And then just last quick question on the Offshore Wind costs in terms of the percentage that's locked in, what would you anticipate to be at toward the end of the year from that 80% level currently?
Joe Nolan: Yeah, we should be closer to a 100%, we've got eyes on that kind of remaining piece of it. We feel good about it, it's not anything that's keeping me up at night.
﻿Q - David﻿ ﻿Arcaro: Okay. Got it. Understood. Thanks so much.
Jeffrey Kotkin: All right. Thank you, David. Next question is from Andrew Weisel from Scotia.
Andrew Weisel: Hi, good morning, everyone. Thank you for squeezing me and about the hour mark. First, just another congratulations to Phil and John. Next, want to elaborate just on a couple of things talked about. First, potential buyers, you've been cleared that you'd only be interested in offshore wind off of the coast of your region. Let's say the Northeast should the sale happen with the buyer also be restricted to that region, or it could they work with Orsted projects in other parts of the country?
Joe Nolan: I don't I don't see anything that would restrict them from that. I think that they could operate anywhere they wanted to operate, but again, it's pretty early in the process.
Andrew Weisel: Okay. Just wanted to know if there was anything in your contract with Orsted.
Joe Nolan: [Indiscernible]
Andrew Weisel: Sounds like no.
Joe Nolan: Just keep in mind I guess I just want to keep in mind that whole philosophy around, sticking to your knitting's in this region to, because that's what we know. We're good at it. I mean, we just wanted that really was our mantra because that is where we feel comfortable. This is our space. We know the space. So that's what we talked about. It wasn't a contractual situation that was more that we didn't want folks to worry that we were going to hit to California or the Midwest. We're going to stick to where we know and we know this region very-very well than we feel good about it. So that was the caveat that we had around wind.
Andrew Weisel: Okay. Thank you for clarifying that. Next on financing, you potentially might get a lot of cash proceeds here. You talked a lot about mitigating or offsetting the $1.2 billion of ATM equity. What about the DRIP? I believe that's about $120 million per year. Could you turn that off if you had this good cash position?
John Moreira: This is John, Andrew. So, yes. I mean, we've confirmed that the $1.2 billion where we will be executing over the next several years, starting this quarter. But you're absolutely right, the DRIP, we have much more flexibility to turn on and off. But right now, we're looking to execute and that will be reassessed once we see when -- as we get closer to closing on its potential transaction.
Andrew Weisel: Okay, great. Thank you very much.
Jeffrey Kotkin: All right. Thank you, Andrew. Next question is from Julien from Bank of America. Good morning.
Julien Dumoulin-Smith: Hey good morning. Thank you team. Congrats again. Phil, John, it's been -- it's a pleasure. Look forward to more. And maybe with that, again, I know lots of things have been asked and answered, but I mean, I want to come back to this tension on how much offshore net income were you expecting? And are you expecting to offset by 2026? I know earlier in response to Steve's question, you'd specifically cut a flag. That came down as an element or the bulk of what proceeds would be used for. But how should we think about what that increment was? And again, last quarter we spent much time talking about ROEs and how much net income was at the whole year. You talked about holding yourselves sort of even against that original expectation. I'm just trying to reconcile the math this quarter and last quarter.
John Moreira: Sure. Sure, Julien, and this is John and thank you for your comment. Once again as we said, I'm very confident that we could find those opportunities given the policies that our policy makers in the States that we operate and we've already given you a lot of information, AMI being one of them that'll in and of itself, as you know, is about $1 billion and on the transmission side, there is also the opportunities that I laid out to you. And that's just for Massachusetts for what award have been issued for Massachusetts, so there's still a lot of more space out there for further development. And as Joe mentioned, people are looking to interconnect in Southern in Connecticut and in Massachusetts. So we feel confident that we will have the opportunities to a combination of investments, the combination of finance -- lower financing requirements that we would need otherwise. We feel very confident that we'll be able to sizes those opportunities as we move forward. Right now it's still too early to tell.
Joe Nolan: And there's no tension, Julien, no tension. Don't worry about that.
Julien Dumoulin-Smith: Thank you, Joe. If I can just rephrase it slightly differently, especially coming off those rating agency conversation. I know you talked about the 1.2 billion in ATM here. I mean, how should we think about the need for equity beyond the 1.2, especially in the context as offshore. I'm just trying to understand, like how much further equity is needed that would be allocated from these proceeds? Obviously, you're not building something so that changes the financing plan, but just to try to level that on that incremental equity piece that seems to be here against the backdrop of earnings growth. If I can ask it slightly differently really appreciate your clarity here.
Joe Nolan: Sure. And I would say it's far too early for us to make that determination as to what those finance and plans look like, because we don't know exactly what will be the ultimate outcome of this review that we're going through and the timing of those investment opportunities that I've mentioned.
John Moreira: We have no plans to do further equity through, and if that's clear. And just to be clear too, you use the word incremental. So this is what we've talked about this morning, is not incremental. It was part of what we discussed in February, so it's the plan of the 1.2 plus the minor shares or dollars that come in from DRIP. And there are no incremental equity plans in the plan.
Julien Dumoulin-Smith: Got it. This doesn't [Indiscernible]. Great. Thank you for that clarity, Phil, I appreciate it.
John Moreira: You're welcome.
Jeffrey Kotkin: Thank you. Thank you.
Julien Dumoulin-Smith: Good luck guys.
Jeffrey Kotkin: Thank you. Thank you. Next question is from Ryan Levine at Citi. Good morning, Ryan.
Ryan Levine: Good morning. I appreciate the evaluation argument for potential monetization, but can you talk about any strategic dis-synergies or synergies that would impact any decision-making about potential deal structuring? Are there any practical reasons for Eversource to maintain ownership or play a part and ongoing Offshore Wind operations at least from a contractual standpoint? And then in this context, why is now the right time?
Joe Nolan: Yeah. So a couple of things that thanks for the question. The dis-synergies absolutely not I mean, this piece of the business as it relates to what we were focused on, which is the onshore. That was what -- that was the piece that we brought to the table and that continues to happen. It happens both in our unregulated business as well as regulated for other folks that want to interconnect. So that will not be the case. In terms of why now, I think we also are what happened in the New York Bight leases and the appetite is extraordinary. The pricing is extraordinary and it's just something that is right for us to do for our shareholders. That's why we made this decision. Again, this is a decision was made to take a look at it as a strategic review, and I feel it's the right thing to do and so does our board members.
Ryan Levine: If evaluation is the primary consideration, how do you -- would you prefer to just get evaluation marker on a minority sale as opposed to selling your entire stakeout rate given some of the cash proceeds questions that you articulated earlier in the call?
Joe Nolan: No, I think that we've shared with folks the opportunities in the regulated space that are available to us, and we think that -- we think the opportunities are extraordinary. So I don't think it would make any sense for a partial. If the number is right on a full, then we will make that decision and we will exit it.
Ryan Levine: Appreciate it. Look forward to seeing you in Boston next week.
Joe Nolan: Yeah great.
Jeffrey Kotkin: Thanks, Ryan. Appreciate it. Next question is from Sophie from KeyBanc. Good morning, Sophie.
Sophie Karp: Hi. Good morning. I can't help but to try ask you another Offshore question maybe from a different angles here. I understand there are larger declined each individual piece in this positive land that makes sense to trend monetizes given where the relations are et cetera, but help me paint the broader strategic picture, please. You seem like they're selling an asset that you don't need to sell. Even though you also don't need -- don't have an immediate need in funding, right? You don't have the need for that money. Despite all that, you are still proceeding with the equity. And you are yet to kind of quantify where those users proceeds could go. Strategically, what is the strategic narrative this year? I'm still struggling as I listen to this discussion to clearly depict that.
Joe Nolan: Sure. I guess the strategic narrative is this extraordinary opportunity in the regulated space that we know we're very, very good at, number one. And number two, we have some assets that are worth significantly more then that we paid or reinvested in, and we see an opportunity to rotate a de -risk on behalf of our shareholders, which is really what the mission is. And we see that opportunity as being advantageous for all the parties, and that's why we made that decision. And again, the reason why is, the appetite in the Offshore Wind is extraordinary. And also the needs in Offshore Wind for terms of interconnection are extraordinary. That's what we're very, very good at. And we're going to play to our strength.
Sophie Karp: Okay. So you used this word a few times, like to de -risk business, right, and I get it. But the question is, do you think that the risk profile of this project has changed since the plan you've entered into this contract originally?
Joe Nolan: The profile of the price, has it changed?
Jeffrey Kotkin: The risks.
Joe Nolan: The risks. Well, no. I mean, there's obviously a great deal of -- there's additional lease areas that have been put out, there's additional players in the marketplace. And as you know, I think everybody on this call knows how disciplined we are in terms of our investments, and we have to remain disciplined. So if you're going to bring a significant number of undisciplined folks into this equation, then that's really not a place for this Company.
Sophie Karp: Great. Thank you. I will jump back into the queue.
Jeffrey Kotkin: All right. Thank you, Sophie. Our next question is from Paul Patterson from Glenrock. Good morning, Paul.
Paul Patterson: Good morning. Can you hear me?
Joe Nolan: Yeah. We can hear you, Paul. Yeah.
Paul Patterson: Congratulations Phil and John, just congratulations to all. And I feel your sort of getting off the easy years somehow, but I don't know why. Good for you. Just on the review, I mean, almost everything has been asked here, but just -- I am just wondering, have you had any indications or expressions of interest, and I apologize if I missed this. So far, I mean, I know that your board took action just now, but has there been or have you had the preliminary indications of interest?
Joe Nolan: We have not. And because that was -- we just made the announcement yesterday, so we do expect that there be significant interest, probably already is at this point. We've been focused on this earnings call, but we do anticipate significant interest in these assets.
Paul Patterson: [Indiscernible] you expected to have -- you're going to review those through the rest of this year. So should we expect something, I know it's kind of early, but sort of December - ish, where we may hear an announcement, or could it happen earlier?
Joe Nolan: Yeah. It could happen earlier, I think you'll have some updates as things progress. I think we'll have a better understanding as to folks that are going to show up. And I think as you know, we were very transparent and we'll share as things become available.
Paul Patterson: Awesome. I think it sounds really smart. And again, congratulations, still I'd like to ask you questions about program or something, but congratulations again, and best wishes. Take care.
John Moreira: Thank you, Paul. I appreciate it.
Jeffrey Kotkin: All right. Thank you, Paul. I think we're going to wrap up this last question from Travis Miller from Morningstar. Travis.
Travis Miller: Good morning, everyone. Thanks for taking my questions here and getting congratulations. Phil, John, I appreciate all the information you guys given over the years. Real quick. Follow-up to follow up to follow-up. You've talked about Offshore Wind returns being higher than the regulated returns you're getting. Just wondering if anything has changed that as you look out in terms of supply chain or inflation on the worker side, or materials, etc.
Joe Nolan: Yes, so -- I'll take that. I guess, I will tell you that the returns remain higher than regulated returns today. So we still feel that way about it and that is the case and all of our estimates and our projections are, they are higher than our regulated returns. Yes.
Travis Miller: Okay. Great. And then just one quick follow-up again to the Massachusetts. Do you think the spirit of the DPU 's, say investigation or requests, have to do with some of the political and legal stuff that's happened over the last couple of years in Massachusetts regarding gas bans and other fossil fuel bans?
Joe Nolan: Yeah, no, absolutely. I think that was -- that just demonstrated Governor Pegu's leadership around gas and his desire to at least let everyone have a fair hearing and try to sort this out. So no, I think it's -- we actually welcomed it. Obviously, it's a very thoughtful and deliberate process that we have a seat at the table and we will see this through and it will happen this year.
Travis Miller: Great, thanks so much. I appreciate the extra time you guys took here today.
Joe Nolan: Yes, thank you.
John Moreira: Thank you.
Jeffrey Kotkin: Thank you, Travis. We appreciate it. We're -- I don't see any other folks in the queue but if you have any further questions, please either reach out by email or phone to us today. We really appreciate you being with us. And I'm going to turn it back to Irene for any closing comp -- any closing instructions.
Operator: Thank you, Jeffrey. Currently, we have no further questions. In case Jeffrey would not like to have any closing remarks, then ladies and gentlemen, this concludes today's conference call. Thank you for being with us today. Have a lovely day ahead. You may disconnect your lines now.
Jeffrey Kotkin: All right. [Indiscernible]